Operator: Greetings and welcome to the Xcel Brands’ Q2 Full Year 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Andrew Berger of Investor Relations. Thank you. You may begin.
Andrew Berger: Good afternoon, everyone and thank you for joining us. We appreciate your participation and interest and hope that all of you are safe in these difficult and uncertain times. With us on the call today are Chairman and Chief Executive Officer, Robert D’Loren; Chief Financial Officer, Jim Haran; and Executive Vice President, Business Development and Treasury, Seth Burroughs. By now, everyone should have access to the earnings release for the second quarter ended June 30, 2020, which was issued yesterday. And in addition, the company filed with the Securities and Exchange Commission its quarterly report on Form 10-Q on August 19, 2020. The release and the annual report are available on the company’s website at www.xcelbrands.com. This call is being webcast and a replay will be available on the company’s Investor Relations website. Before we begin, please keep in mind that this call will contain forward-looking statements. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from certain expectations discussed here today. These risk factors are explained in detail in the company’s most recent annual report filed with the SEC. Xcel does not undertake any obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. In addition, the COVID-19 pandemic continues to have a significant impact on the company’s business financial condition, cash flow and results of operations. There is significant uncertainty about the duration and extent of the impact of the virus. The dynamic nature of these circumstances means what is said on today’s call could change materially at any time. Finally, please note that on today’s call, management will refer to certain non-GAAP financial measures such as non-GAAP net income, non-GAAP diluted earnings per share and adjusted EBITDA. Our management uses these non-GAAP metrics as measures of operating performance to assist in comparing performance from period-to-period on a consistent basis and to identify business trends relating to the company’s results of operations. Our management team believes these financial performance measurements are also useful, because these measures adjust for certain costs and other events that management believes are not representative of our core business operating results. And thus, they provide supplemental information to assist investors in evaluating the company’s financial results. These non-GAAP measures should not be considered in isolation or as alternatives to net income, earnings per share or any other measure of financial performance calculated and presented in accordance with GAAP. You may refer to the attachment in the company’s earnings release or to Part 1, Item 2 of the Form 10-Q for a reconsolidation of non-GAAP measures. Now, I am pleased to introduce Robert D’Loren, Chairman and Chief Executive Officer. Bob, please go ahead.
Robert D’Loren: Thank you, Andrew. Good afternoon, everyone and thank you for joining us. So I hope all of you and your families remain safe and healthy. I will start today’s call with some thoughts around recent events in our industry, followed by an overview of our second quarter financial performance and then provide some operating highlights. After that, our CFO, Jim Haran, will discuss our financial results in more detail. We are all living through an extraordinary period of business and social change. The past 5 months have presented a period of unprecedented challenge, but also demonstrates and proves Xcel’s agility, resilience and the dedication of our employees, supply chain and retail partners. While our financial performance this quarter reflects the impact of COVID-19 worldwide, we have taken this opportunity to accelerate our core strategic focus to leverage our technology platform to drive areas of growth as we move forward out of this crisis. In Q2, we experienced our first full quarter of the impact from the COVID-19 pandemic with widespread canceled orders and retail partners store closures and our wholesale and non-QVC licensing business. That said, in March, our team launched a new digital peer-to-peer business with our Longaberger brand, with a focus on home and wellness products that is showing tremendous potential in this current environment. We have added lounge and athleisure to our apparel lines and we have signed over 15 new licenses – license agreements with a focus on home and wellness as well as some exciting new collaborations for our Judith Ripka brand, all while safeguarding our employees, significantly reducing our expenses, and meaningfully improving our balance sheet through cash conservation measures and inventory management. As I have stated before, our objective is to emerge from this crisis stronger than we came into it. Now, I would like to give an overview of our financial performance and provide an update on our path to recovery in each of our major channels of distribution. Although our total revenues were down on a year-over-year basis by 45% for the quarter and 25% for the first half due to the impacts of COVID-19, we successfully held our gross profit margin steady year-over-year for the first half and grew them for the quarter. At the same time, the gross margins in our e-commerce business grew year-over-year for both the quarter and on a year-to-day basis. Our Longaberger business, while still early, has an average sales growth rate of over 100% per month and we have recruited over 3,500 home and lifestyle sales associates over the past 8 weeks. This is a key growth rate metric for this business. While our bottom line results for the quarter were significantly negatively impacted by the current economic environment resulting from COVID-19, our non-GAAP earnings and EBITDA for the second quarter were up slightly year-over-year. Jim will speak more on this later. Now, let us take a look closer at our operations by distribution channel. Although our interactive television business revenue was down year-over-year in the current quarter, the decrease was attributable to a combination of QVC pivoting airtime to home and electronics products and adjusting to remote broadcasting. While sales were down in April and May compared to our pre-COVID plan, we have exceeded our pre-COVID plan in June and July by 7% and 25% respectively. We believe that our QVC sales are fully back on track. We are actively working with QVC to develop more products for the fourth quarter that are working well in this current environment, including loungewear, sleepwear and facemask, we are launching a new H Halston line on HSN QVC UK and Italy, the shopping channel in Canada and TBS and in Australia this fall. We are all in uncharted waters here, but the flexibility of our business model enables us to react faster and provide new solutions as retailers continue to adjust to the current environment. In our non-QVC licensing business, we continue to develop and manage our portfolio of over 60 licenses across our brands. We expected our non-QVC licensees to experience canceled orders and reduced sales from the impact of COVID-19. Accordingly, we experienced a 48% and 25% decrease in non-QVC net licensing income in Q2 and for the 6 month period ended June 30, 2020 respectively. The result was better than our initial forecast and approximately 90% of our licensees are current with payments of royalties. The outlook for non-QVC licensing revenues for the balance of 2020 is uncertain. We have been and continued to monitor business openings as our country slowly gets back from the stay-at-home policies enacted by each state and are leaning into retailers who have stayed open throughout this pandemic, including Walmart and the price clubs where possible. We have also spent significant time with each of our licensees assisting them where possible with pivoting their businesses into new categories and sales efforts as we are sharing information on and as well as sharing information on federal assistance programs. As previously announced, we launched apparel at Walmart under our C. Wonder brand in February to our wholesale division. The line was launched at price points that Walmart hopes will establish a new higher quality value proposition for its customers. Based on the line’s initial performance, Walmart plans to expand the brand to 10 new complementary categories this fall. As such, our team has worked with best-in-class licensees in categories such as handbags, footwear, small leather goods, passion jewelry, and sleepwear to design and develop products that Walmart has confirmed will launch this fall. In addition to the Walmart program, we have successfully signed over 15 new licensees during the second quarter in categories, including eyewear sleepwear intimates home sanitizers, face masks, PPE and home categories and continue to work to identify categories in retail channels that present opportunities in this current environment. We had great momentum in our wholesale business before COVID-19 hit us all. As I previously stated based on our plan and our strong order book, we were showing sales growth in excess of 40% for 2020. That said, our wholesale apparel business experienced canceled orders with our Q2 deliveries that resulted in lost sales. We expect sales to continue to be down in Q3 and are cautiously optimistic about Q4. Q4 results will be dependent upon how the consumer behaves as stores continue to open and stabilize and other economic factors. While our wholesale business will be impacted in 2020, we believe we are positioned to resume that level of growth when we all come out of this crisis. Also, we have sold 100% of our on-hand inventory and have managed through this crisis fairly with our supply chain partners. Like apparel, our jewelry wholesale business was impacted by the closing of stores by our retail partners. Most of our wholesale orders for the second quarter were canceled. To offset this loss in sales, we have shifted our sales efforts to the independent retailer or indie channel and early indications are very positive. Finally, our jewelry business team did an outstanding job managing our jewelry inventory through this crisis. In our direct-to-consumer businesses, our Judith Ripka e-commerce business is up 28% over last year. We have launched several new collections through the pandemic and are working on some exciting new collaborations for this fall and 2021. Also, we launched our new peer-to-peer digital platform for our Longaberger brand and are seeing some great early momentum with both recruiting as well as sale. Our product assortments include home furnishings, accessories, food and baskets. As previously mentioned, we have recruited over 3,500 styles. This is extremely exciting and shows very significant sales potential, particularly in economies like this, where people are seeking ways to make additional income. We hope to be able to leverage the peer-to-peer model across our jewelry and other businesses and we will report on our progress throughout the year as we continue to roll this social selling platform now. In conclusion and as I have stated before, through our true omni-channel approach, we have positioned ourselves with a presence in all forms of distribution so that way we can reach our customers everywhere they shop. We have also created a highly flexible model that can supply our retail partners through either a wholesale or vertical retail fee-based working capital light model and with our integrated technology platform can do so faster than many in our industry. I am extremely excited by the potential of our Longaberger peer-to-peer social commerce platform. This not only diversifies our product offering to home and wellness categories, but gives us the potential to harness the power of social commerce. Our people, our brands, our flexibility and our strong balance sheet are our strength. We are doing everything possible to come through the COVID-19 events so that we emerge from it stronger. Now, I would like to turn the call over to Jim to review our financial results for the quarter and the first half. Jim?
Jim Haran: Thanks Bob and good afternoon everyone. I will briefly discuss financial results for the quarter and 6 months ended June 30, 2020. Please note that our financial results described more fully and our quarterly report on form 10-Q that was filed with the SEC on August 19. Total revenue for the second quarter of 2020 was $5.1 million, a net decrease of approximately $4.1 million or 45% from the prior year quarter. The decline experienced in both licensing revenue and product sales for the quarter was primarily driven by government ordered retail store closures as well as an overall slowdown in economic activity in certain consumer product categories related to the COVID-19 pandemic. Declines were less pronounced in our revenues related to the interactive television distribution channel. Our operating expenses were $5.4 million for the second quarter of 2020, down from $7 million in the prior year quarter. This $1.6 million reduction was primarily due to government assistance received through the Paycheck Protection Program under the CARES Act for which we recognized $1.6 million as a reduction to current quarter operating expenses for which the program was intended to compensate. Lower operating costs were also partially attributable to the cost reduction actions taken by management in response to the COVID-19 pandemic, including temporary reductions of employee compensation and cutting non-essential cost. Partially offsetting these cost reductions were increases in some of our non-cash expenses, including stock-based compensation, bad debt expense and impairment of property and equipment and depreciation and amortization expense. The higher atomization expense was primarily due to accounting change for Judith Ripka trademarks from indebted life assets to finite life assets effective January 1 of this year. While bad debt expense was driven by reserves for accounts receivable related to certain customers, including Lord & Taylor, that have been hit hard by the impact of COVID-19. The prior year quarter also notably includes $2.9 million of other income related to a gain on the reduction of contingent obligations from the acquisition of the C. Wonder brand. Interest and finance expense for the current quarter was $0.3 million compared with $0.35 million for the prior year quarter. This slight decrease in the prior year is mainly attributable to principal payments made on term loan debt, resulting in a low outstanding principal balance. GAAP net loss was approximately $1.3 million for the second quarter of 2024 or negative $0.07 per basic and diluted share compared with a GAAP net income of $1.9 million or $0.10 per basic and diluted share for the prior year quarter. After adjusting for certain cash and non-cash items, non-GAAP net income for the current quarter was approximately $1.2 million and non-GAAP earnings per share was $0.06 per diluted share compared with approximately $1 million or $0.05 per diluted share in the prior year quarter. Adjusted EBITDA for the current quarter was approximately $1.7 million, up $0.1 million from the prior year quarter. As a reminder, non-GAAP net income, non-GAAP diluted EPS and adjusted EBITDA are non-GAAP un-audited terms. Our earnings press as well as our quarterly report on Form 10-Q present a reconciliation of these items with the most directly comparable GAAP measures. Now, let’s move to our 6-month results. In the first 6 months of 2020, total revenue decreased approximately $4.9 million or 25% over the prior year’s 6-month period, primarily in our licensing business. The decrease in licensing revenues was mainly attributable to the previously mentioned impacts of COVID-19. Net product sales for the current 6 months were down only slightly from the prior year 6 months as the impact of the COVID-19 pandemic during the second quarter of 2020 were partially offset by volume growth experienced in our apparel wholesale business during the first quarter. Despite these revenue declines, our gross profit margin was 82% in the current 6 months and 81% in the prior year 6 months or essentially flat year-over-year. Gross profit margin from product sales increased from 25% in the prior year 6 months to 40% in the current 6 months. While our operating expenses were $13.6 million for the first half of 2020, this was down from $14.7 million in the prior year period. This $1.2 million reduction was primarily due to government assistance received through the Paycheck Protection Program under the CARES Act, for which we recognized the same as in the quarter $1.6 million as a reduction to current period operating expenses. While operating expenses were also partially attributable to cost reduction actions taken by management in response to the COVID-19 pandemic, including temporary reductions in employee compensation and cutting non-essential costs. Partially offsetting these cost reductions were increases in some of our non-cash expenses, including stock-based compensation and payment of property and equipment and depreciation and amortization expense for the reasons mentioned earlier. Interest and finance expense for the current 6 months was $0.59 million compared with $0.83 million for the prior year 6 months. This decrease is primarily attributable to the fact that the prior year 6 months include a $0.19 million loss on extinguishment of debt as a result of the February 11, 2019 term loan amendment. Net loss was approximately $2.2 million for the current 6 months or $0.11 per basic and diluted share compared with net income of $2 million or $0.11 per basic and diluted share for the prior year 6 months. Net income for the prior year 6 months also notably included $2.9 million of other income related to the gain on the reduction of the continued obligations from the acquisition of the C. Wonder brand. After adjusting for certain cash and non-cash items, non-GAAP net income for the current 6 months was approximately $1.4 million and non-GAAP earnings per share was $0.07 per diluted share compared with approximately $2.5 million or $0.13 per diluted share in the prior year 6 months. Adjusted EBITDA was approximately $2.5 million for the current 6 months and approximately $3.7 million for the same period in the prior year. Now, turning to our cash position, as of June 30, 2020, the company had unrestricted cash and cash equivalents of approximately $5.5 million compared with cash of approximately $4.2 million at March 31, 2020 and $4.6 million at December 31, 2019. This increase in unrestricted cash during the first half of 2020 was primarily attributable to strong operating cash flows which reflect the combination of collections from outstanding debtors, cash conversion and cost control measures implemented by management and government assistance received through the Paycheck Protection Program. The increase in cash provided by operating activities was partially offset by continued investments in technology and required payments on our term loan obligations. Looking at our debt at June 30, 2020, our total bank debt was $18.2 million or $12.8 million net of cash or approximately 2.2x adjusted EBITDA for the trailing 12 months. Our working capital at June 30, 2020, excluding the current portion of lease obligations, was approximately $8.5 million compared with $10.7 million at December 31, 2019. And finally, as Bob mentioned, we are continuing to take appropriate actions to reduce our costs and conserve cash in the light of the current economic environment resulting from the COVID-19 pandemic. We are also taking action to provide additional liquidity and flexibility. We restructured and refinanced our senior term debt in April and again in August to allow for reduced principal payments and COVID relief. Also in April, we received $1.8 million through the Paycheck Protection Program under the CARES Act. And based on the requirements and conditions under the CARES Act and the Paycheck Protection Program Flexibility Act, we expect that the entire amount of loan will be forgiven and accordingly have treated the proceeds of the loan similar to a grant. And with that, I would like to turn the call back over to Bob. Bob?
Robert D’Loren: Thank you, Jim. This concludes our prepared remarks. Operator?
Operator:
Robert D’Loren: Ladies and gentlemen, thank you for your time this evening. We greatly appreciate your continued interest and support in Xcel Brands. As always and now more than ever, stay fit, eat well and be healthy.
Operator: Thank you. This does conclude today’s conference. You may disconnect your lines at this time. Thank you for your participation and have a great evening.